Operator: Good day, everyone. Welcome to Kosmos Energy's Fourth Quarter and Full Year 2023 Conference Call. As a reminder, today's call is being recorded.  At this time, let me turn the call over to Jamie Buckland, Vice President of Investor Relations at Kosmos Energy. 
Jamie Buckland: Thank you, operator, and thanks to everyone for joining us today. This morning we issued our fourth quarter and full year 2023 earnings release. This release and the slide presentation to accompany today's call are available on the investors page of our website.  Joining me on the call today to go through the material are Andy Inglis, Chairman and CEO; and Neal Shah, CFO. During today's presentation, we will make forward-looking statements that refer to our estimates, plans and expectations. Actual results and outcomes could differ materially, due to factors that we note in this presentation and in our UK and SEC filings. Please refer to our annual report, stock exchange announcement and SEC filings for more details. These documents are available on our website. At this time, I will turn the call over to Andy.
Andrew Inglis: Thanks, Jamie, and good morning and afternoon to everyone. Thank you for joining us today for our fourth quarter and full year results call. I'd like to begin today's call talking about our purpose as a company, which defines our strategy and the characteristics that make Kosmos unique. We'll then provide an update on our operational and financial progress in 2023, before looking forward to a catalyst rich year ahead. Starting on Slide 3. At Kosmos, our purpose is clear. We are a leading deepwater independent E&P company, focused on meeting the world's growing demand for cleaner energy. With oil production from our low-cost lower carbon oil assets in Ghana, the U.S. Gulf of Mexico and Equatorial Guinea, we are providing the world with the energy it needs today. At the same time, we're developing cleaner sources of energy for the future through world scale gas projects offshore Mauritania and Senegal.  And finally, as we deliver the energy the world needs, we strive to be a force for good in the countries we operate in, accelerating economic and social progress across our host nations. We do this through growing production, which leads to increased revenues and royalties for the countries. We are also providing natural gas for domestic use in power generation, enhancing access to more affordable and more reliable electricity, while also investing in important social programs in our countries of operation. Turning to Slide 4. Kosmos has a unique investment case with a world-class portfolio, differentiated growth in the right assets and strong free cash flow outlook. Taking those three in turn; first, we have a diversified portfolio of world-class assets. This portfolio is comprised of advantaged oil assets today, characterized by production with low-cost and top-quartile carbon intensity. Alongside our oil assets, we're building out our advantaged gas position, which will lower the overall intensity of the products we sell. Importantly, the portfolio has longevity with a 2P reserves to production ratio of over 20 years with a deep hopper of discovered resource that can further extend the reserve line.  Second, we have meaningful growth. We are targeting production rising to around 90,000 barrels of oil equivalent per day by the end of the year, in line with our 50% growth target from the second half of 2022. As part of that targeted growth, gas is anticipated to increase from around 10% of our overall production to around 25% over that period. Beyond that, we have a hopper of value-accretive growth opportunities such as Tiberius, Yakaar Teranga and Akeng Deep to support future growth. Albeit at a more measured rate as we look to prioritize free cash flow and debt reduction.  And finally, we expect to see significant improvement in free cash flow, as we move out of the current development phase with CapEx expected to fall with the start-up of both Winterfell and Tortue this year. With those projects online, we forecast quarterly free cash flow of around $100 million to $115 million at mid cycle oil prices. We plan to prioritize the use of our future free cash flow towards debt pay down, until we achieve our leverage target, after which we'll consider shareholder returns. Turning to Slide 5, which looks at the first of the three characteristics that make Kosmos unique, the quality of our portfolio. We have a diverse portfolio of exploration, development and production assets across five countries in the Atlantic Basin, balanced between short cycle oil and longer-dated gas opportunities. The chart on the top right of the slide breaks out our reserve space. Our 1P reserves of around 280 million barrels of oil equivalent provides a 1P reserves to production ratio of around 12 years, weighted more towards oil. The quality of the portfolio is highlighted by the 1P reserve replacement ratio in 2023 of over 100%, which reflects the strong reserve additions at Jubilee, as we brought Jubilee Southeast on stream.  On a 2P basis, we have reserves to production ratio of over 20 years, which is slightly more to gas and oil, demonstrating the direction of travel over the coming years with gas set to play a growing role in the outlook for the company.  The chart at the bottom right of the slide shows the importance of the diversity in the asset base with all business units playing an important role in the delivery of the company's future. The 2C resource base, which includes some contribution from Yakaar Teranga as well as upside in Jubilee and Winterfell, gives the company a 2C reserves to production ratio of over 30 years with additional discovered resource beyond that such as Tiberius expected to extend the production life. Turning to Slide 6, which looks at our growth this year and beyond in more detail. The chart at the top shows the progress we're making towards our 50% production growth target. The Jubilee ramp up is already contributing a meaningful step-up following the Jubilee Southeast start-up last summer. This ramp up is planned to continue with five additional wells expected online at Jubilee in the first half of this year.  First oil of Winterfell is expected early next quarter, an important milestone for our Gulf of Mexico business. After that, we are looking forward to the start-up of Tortue, which is expected to take company’s production to above 90,000 barrels of oil equivalent per day. On the bottom half of the slide is our opportunity set beyond 2024. We have a balance of high-quality short cycle oil opportunities, such as Tiberius and longer dated gas and LNG opportunities like Yakaar Teranga and Tortue Phase 2. Turning to Slide 7. As we deliver our current phase of development projects and then pursue selected investment opportunities, we expect more measured growth and our free cash flow profile to improve significantly. With a targeted 50% increase in production by year end 2024, as measured against the first half of 2022, we expect our free cash flow to grow materially at mid cycle oil prices. As these projects deliver, CapEx is expected to fall sharply. With Tortue and Winterfell online, we expect annual CapEx to return to a more steady state number in 2025 and beyond of around $550 million including maintenance and some further growth. With growing production and falling CapEx, we're reaching an important inflection point with quarterly free cash flow expected to be in the $100 million to $150 million range, once the current phase of developments is delivered. Turning to Slide 8. Supporting our strategic and operational progress is a continued focus on our ESG activities. Supplying the energy the world needs today and meeting growing future demand must be done in a responsible way that not only provides affordable and reliable energy, but also provides sustainable growth and benefits to our host countries. I'm proud of our progress in 2023.  Starting with environment, we continue to maintain carbon neutrality for our operated Scope 1 and 2 emissions. In 2023, we announced a near-term target to reduce by 25% our equity Scope 1 emissions in 2026 from a 2022 baseline and are making good progress towards that goal. Turning our attention to social. We aim to be a trusted partner and good corporate citizen in our host countries and here in the U.S. We continue to invest in our people and the communities we work in supporting a just energy transition that provides greater access to power in Africa. We continue to have 100% local employment in all of our overseas offices and we're again named the top workplace in both Houston and Dallas in 2023. We care deeply about the people who work for and with Kosmos and this is an important part of our success as a company. Lastly governance. Kosmos has a very experienced and diverse Board with a wide range of backgrounds. This was further enhanced in 2023 with the addition of three new Board members that bring unique perspectives and new ideas that help continue to support Kosmos' growth. In summary, ESG credentials are a core part of our strategy. This commitment was once again recognized by MSCI, one of the leading ESG rating agencies, which ranked Kosmos AAA, the highest possible rating, which puts us in the top 20% of companies in our sector for the second year. Similarly, Newsweek and Statista named Kosmos one of America's most responsible companies for the fourth consecutive year. Our ability to effectively execute our strategy relies on our commitment and focus on operating responsibly. That commitment starts at the top with our Board of Directors down through leadership and to all of our employees and supports our ability to deliver long-term value to all of our stakeholders. Turning to Slide 10, a recap of our achievements in 2023. 2023 was another year of continued delivery. We continue to operate safely with lost time injury rates and total recordable injury rates significantly below industry averages, a trend we have maintained for several years. As discussed earlier in the materials, production is growing with fourth quarter production of 66,000 barrels of oil equivalent per day, up 12% year-on-year. Our development projects are progressing with Jubilee Southeast online and ramping up, Winterfell due online shortly and Tortue Phase 1 making good progress with start-up expected later this year. We continue to build out our future growth opportunities with the discovery of the operated Tiberius ILX prospect and by increasing our working interest in Yakaar Teranga and assuming operatorship. As discussed on the previous slide, our continued ESG focus was recognized by MSCI, as we maintained our AAA rating. I'll now let Neal run through the financial results for the quarter and the year.
Neal Shah: Thanks, Andy. Turning to Slide 11. Production for the year was in line with the updated guidance we provided last quarter with 4Q production at the lower end of the range due to the water injection issues that Jubilee flagged earlier. These issues have now been resolved and Andy will give an update on current operations in Ghana shortly.  OpEx for the quarter was higher than anticipated due to higher workover costs for the initial rig activity in Equatorial Guinea before the operator terminated the rig contract for safety issues, which we'll also talk about in more detail shortly. Other costs including DD&A, G&A and tax all came in below guidance tax all came in below guidance, helping to drive today's EPS beat versus consensus. We did record an impairment to 10, reducing the carrying value down to zero, reflecting an anticipated reduced activity set together with well performance.  Positive 1P reserve additions at Jubilee more than offset the downward revision to 10 1P reserves during the period. While we still see future potential value at 10, both in oil and gas, the realization of that value is contingent on the approval of the plan of development and the activity set has to compete for capital with other opportunities we have in the Kosmos portfolio. CapEx for the quarter was higher-than-expected largely due to the timing of inventory related to the EG drilling program. Inventory arrived earlier-than-expected and therefore was recognized as CapEx in the fourth quarter. I'll now hand it back to Andy to go through the outlook for the year ahead.
Andrew Inglis: Thanks, Neil. Let's turn to Slide 13. 2023 was a pivotal year in Ghana with the start of a Jubilee Southeast with more to come in 2024. Full year guidance from the operator for Jubilee and TEN is around 116,500 barrels of oil per day gross, which equates to around 40,000 barrels of oil per day net to Kosmos with a further 6,000 barrels of oil equivalent per day net of gas. At Jubilee, operator guidance is for 100,000 barrels of oil per day gross for the year, with production expected to grow through the year as new wells come online.  So far, one water injector and one producer have been brought online in 2024. A second producer well is expected online imminently and that should take Jubilee production back above 100,000 barrels of oil per day gross with two additional wells due online thereafter.  In addition to the infill drilling program, our focus with the operator this year is on management of the production base, targeting 100% voidage replacement. We've had a good start to the year injecting record levels of water into the field and plan to continue optimizing injection support this year. As production rises, the reduction in OpEx per barrel we saw last year should be maintained, as the partnership continues to drive through efficiencies and fixed costs are spread over more barrels. On gas, the interim gas sales agreement for Jubilee has been extended through the end of May at around $3 per MMBtu.  On TEN, operator guidance is around 16,500 barrels of oil per day gross through 2024. On the TEN plan of development, we are awaiting government approval and therefore have not planned any major activity on the field this year. Turning to Slide 14. In the Gulf of Mexico, 2024 is expected to be another busy year. Full year guidance is 15,500 to 17,000 barrels of oil equivalent per day net and includes our estimated hurricane downtime in the second half of this year.  Starting with our production optimization activities, the Odd Job subsea pump project is on track to start-up mid-year with the Kodiak workover planned around the same time. Both of these are high return projects, which should accelerate future production. On which both first oil from the first phase of development as I expected in early 2Q with two wells expected online with the second quarter and a third expected later in the year. The project has gone well so far with the first two well tests in line with expectations. And we remain excited about the future potential of the Greater Winterfell area. On the Tiberius discovery where Kosmos is operator, we have received the lab analysis of the rock and fluid samples, which supports the production potential of the development wells and is in line with analog wells in the Wilcox. We're now progressing a phased development solution with a subsea tieback plan to the Lucius platform 6 miles away. Lucius is operated by Oxy, a partner in Tiberius. FID of Tiberius is expected later this year with a development timeline of 18 months to 24 months similar to Winterfell. On the map on the bottom right of the slide, in lease sale 261 Kosmos and Oxy added the block to the west of Tiberius and two blocks to the southeast, which contain the Logan discovery. These adjacent and nearby blocks provide additional near field upside beyond the Tiberius discovery and can support the phased development of the Greater Tiberius area. It's an exciting time for our Gulf of Mexico business with expected near-term production increases from Winterfell and our production optimization activity to be followed by an operated Tiberius development providing the next leg of growth. Please turn to Slide 15. The next will be Guinea. Based production continues to be steady, a full year production guidance of approximately 8,000 barrels of oil per day net. This guidance does not contain any contribution from the planned infill drilling campaign, which has been deferred after the operator terminated the rig contract due to safety concerns. Kosmos fully supports the operation decision and will not compromise the safety of operations. The partnership is now evaluating alternative rig options that would allow for the infill drilling campaign to recommence later in the year followed by the Akeng Deep infrastructure exploration well. We'll update the market with news on a replacement rig when appropriate and have included potential CapEx assuming the resumption of the EG drilling program in the high end of our CapEx range. Turning to Slide 16. On Tortue Phase 1, the key work streams continue to progress. The hub terminal is complete and has been handed over to operations. The floating LNG vessel has arrived on location. The mooring is now complete and connection to the hub terminal is now ongoing. Golar continues to work with the operator to advance commissioning. Subsea work scope is progressing in line with expectations with completion expected by the end of the second quarter. And finally, the FPSO is currently in Tenerife for the planned inspection and repair of the fairies. Following completion of this work, the vessel will then move to its location at the field early in the second quarter and begin final hookup and commissioning activities. The FPSO remains on the critical path for first gas, which is expected in the third quarter of 2024. Elsewhere on Tortue, we expect to have a ruling on the arbitration regarding future cargo optimization around the middle of the year. In addition, BP on behalf of the partner group has served the previous subsea contractor with a claim notice and initiated the process under its agreement to recover the losses incurred. We estimate our net share of the potential recoverable damages to be up to $160 million. As Tortue progresses towards first gas, as we look to bring in a partner on Yakaar Teranga industry interest in the assets has risen. This may provide an opportunity in the future to crystallize some value from our gas portfolio and accelerate our financial resilience.  With that, I'll hand back to Neal to take you through the financial outlook. 
Neal Shah: Thanks, Andy. Turning to Slide 17. As Andy mentioned, we remain focused on enhancing the financial resilience of the company as production rises over the coming months and CapEx falls. In 2023, we repaid the Gulf of Mexico term loan, which means we have no debt maturities this year. On the RBL, represented by the dark blue blocks on the chart, the refinancing process with our bank group is going well with completion expected in the first half of the year. The aim is to push out maturities by approximately three years, which would push the final maturity to almost 2030. On leverage, we exited 2023 at 1.9x and have a long-term target of 1.5x or below at mid cycle for oil prices. With CapEx anticipated to be higher in the first half of this year, the cash generation we expect once production is ramped up should come through in the second half of 2024 and would be used for debt pay down. Leverage should then start to fall quickly towards our target.  Turning to Slide 18, our capital allocation priorities for the year. CapEx for full year 2024 is expected to be $700 million to $750 million just over a third of which is maintenance CapEx. Growth CapEx is anticipated to be around 60% to 65% of 2024 total primarily related to completing Winterfell in Phase 1 of GTA, which does include some duplicative subsea costs incurred as a result of the switch in subsea contractors made last year. We hope to recoup this through the recovery of damages from the process mentioned earlier.  Looking beyond 2024, we expect normalized annual CapEx to be around $550 million with around $300 million to $350 million in maintenance CapEx and $200 million to $250 million of growth CapEx. As CapEx falls and free cash flow increases, we have three clear priorities; first, enhance our financial resilience. As noted on the previous slide, we want to get absolute debt and leverage down sharply, and this will be the first call on free cash flow generation. Second, we want to invest selectively in compelling opportunities. We support the continuing growth of the company, albeit at a lower rate than what we expect in 2023 and 2024. And third, when leverage is in the right place, we will look at shareholder returns.  I'll now hand back to Andy to conclude today's presentation. 
Andrew Inglis : Thanks, Neal. Turning now to Slide 19. 2023 was a year of continued delivery for Kosmos. We achieved a lot with production growing through the second half of the year as the first of our major development projects came online at Jubilee Southeast and we remain on track to achieve our production growth target by the end of this year. We made a Tiberius discovery and we took over operatorship of Yakaar Teranga. 2024 is a catalyst rich year with Jubilee ramp up and Winterfell first oil both expected in the coming months. Later in the year, first gas from Tortue will be a major milestone for both the company and the countries of Mauritania and Senegal. Rising production and falling CapEx drive strong cash generation through year end into 2025, with rapid deleveraging towards our target debt levels. The Kosmos team is excited about the year ahead and energized to deliver on our strategic objectives. Thank you. I'd now like to turn the call over to the operator to open the session for questions. Operator?
Operator: [Operator Instructions] Our first questions come from the line of David Round with Stifel. Please proceed with your questions.
David Round: I've got a couple, please. The first one, Andy, you mentioned -- you made a comment there about potentially crystallizing value from the gas portfolio. Could you elaborate on what you meant by that, please? Whether it's something you're actively looking at or whether that's just in relation to potential income in Yakaar?  The second question, we've obviously seen the pause in U.S. LNG export approvals recently. Has that changed any conversations you're having or at least impacted any of your assumptions going forward or is it too early?
Andrew Inglis: Well, it seems to be time for Kosmos in Mauritania and Senegal as we progress our broader agenda. As I said in my comments, Tortue first gas is now in sight. We're making real progress with PETROSEN on the concept for Yakaar Teranga. I'm also pleased that we're making progress with the NOCs and BP on a concept to accelerate Phase 2 ahead of BP's previous timeline. You put all that together and we're building a material LNG business that is coming at the right time. It's coming at a time when the long-term value of gas is being recognized and its role in the energy transition.  As you say, the external context is changing. There is a pause in U.S. LNG and I think that is one of the drivers why new sources of gas are being more highly valued. Today, you've seen we’ve step forward with its own announcement about building a larger business. There's probably pluses and minuses on the supply side. But I think one thing that's clear is that the future supply is getting very concentrated. Therefore, new sources of supply that add diversification for customers are going to be valued.  So you put all of that together and we've had interest in Yakaar Teranga, as you mentioned. As we stated in our third quarter results, we're looking to bring in a partner with the right skills and balance sheet to help us progress and that is our priority. But whilst it's apparent from the conversations on Yakaar Teranga, there are parties that are interested in potentially a larger stake than just YT in our other assets in Mauritania and Senegal. That's something that we will consider as part of the sell down process in Yakaar Teranga. And why would we do that? Ultimately, it allows us to accelerate our strategic agenda. We can look forward to growth and we've got a very rich hopper, but what's the right working interest for that? And can we find alternative ways to accelerate the delivery of a more resilient balance sheet that enables shareholder returns. So, we see it as being another point -- another way to access and accelerate that outcome.  So it's sort of early days. The conversation is primarily around Yakaar Teranga, where we're going to finish the pre-FEED and then start that process. But if there is an option of a larger deal involving Tortue, then that is something we would consider for the reasons that I'd laid out.
Operator: Our next question has come from the line of Neil Mehta with Goldman Sachs.
Neil Mehta: The first question is just about the free cash flow inflection. You talked about $100 million to $150 million a quarter once we get to run rate. Can you talk about what pricing set that's under? And just as you think about going into 2025, as you get to this major free cash flow inflection, what the priorities for cash are in terms of where we go from here?
Andrew Inglis: Yes, let Neal will take out the question just in terms of the metrics that drive it. But I think it's an important, 2024 is an important year where we're completing the two major projects Winterfell and Tortue and that enables us then to get to that free cash flow inflection point. And the delivery of the projects is an important point in the journey for the company. It allows us to strengthen the balance sheet, pay down the debt and at that point then move forward to shareholder returns. But it also enables us to continue growth. But it's important -- it's at a much more measured pace than we've obviously delivered over the past two years. So I think as we go through 2024, 2025 is about that dual agenda, the prioritization of free cash flow to enable the debt pay down, but actually, there will be growth, but it's to be at a much slower pace. But Neal, the fundamental metrics behind the free cash flow?
Neal Shah: Yes. I mean, that's based on our sort of current estimates, it's sort of 70 TI, 75-ish Brent.
Neil Mehta: And then as we think about 2025, couple of cost structure questions. One is, is it fair as a placeholder to be using something in the 550 type of CapEx range recognizing you'll put some more meat on the bones here in the next couple of months? And then, I saw in the footnote that you talk about operating costs $115 million to $130 million for Greater Tortue. Is that the right run rate CapEx once the project comes online?
Neal Shah: Sorry, I'll cover your second question first, Neil. Just on the operating costs. Yes, I mean, I think it will be slightly higher because that's sort of phased over time as the development ramps up and we'll get this year, there's a couple of moving parts in terms of the ramp up, commissioning costs, et cetera. So it'll be a little higher than that on a regular basis, but the per metric, barrel metrics, per BCF metrics will look metrics will look more attractive on that basis, on a 25 in regular run rate going forward. And then just sorry, what was your first question again, Neil? 
Neil Mehta: It's just Neal. What do you think of CapEx for '25 rough roll with them recognizing you're going to have?
Neal Shah: Yes. And again, I think as we said on the call, so the 20 that $550 million is what we're targeting for the next several years, including 25 beyond. So I think it's a good sort of number to have penciled into your models. 
Andrew Inglis: And that number basically underpins sort of maintenance CapEx of about $300 million to $350 million on a long-term basis and then growth of sort of $200 million to $250 million. So much more measured growth and ultimately at $550 million long-term CapEx, you can sustain that free cash flow of $100 to $150 per quarter. 
Operator: Our next question has come from the line of Matt Smith with Bank of America.
Matt Smith: First question on the capital allocation front. Thanks for laying out the detail in the presentation. I think the inflection point is clearly an important one for Kosmos. I guess I just wanted to come back. Is that $550 million CapEx an indication of sort of a steady state or is it firm commitment from Kosmos? Because I think it's clear that you're very opportunity rich. I mean, it's great to see that sort of Phase 2 of Tortue you might be coming back onto the table sooner than previously anticipated. And you talked about Yakar Taranga as well. I guess, I just want to understand whether, say, the $550 million is an indication or really whether that's a commitment to shareholders that sort of whatever the plan, whatever the working interest that's the sort of level of CapEx that you're going to be comfortable sort of spending over the next few years? I just want to sort of understand what -- where the priority is really on that, if that's okay? And then the second question would be on the FPSO in terms of Tortue. I think really confirming the news that we've heard elsewhere in terms of the delay in first gas to the third quarter now? I just wondered whether you'd be able to talk about confidence intervals that you have in terms of reaching that milestone this time around, please. 
Andrew Inglis: If I sort of take the first one around capital allocation '24, important year, we're delivering growth through the delivery of Jubilee Southeast continuing growth, Winterfell and Tortue online. And as you look beyond that you're right, we do have a rich hopper. And the important point I think for shareholders is we're really selective about the projects that we do. And we have choices around the timing, the phasing and we have choices as I indicated around David's question, around the level of participation in those projects. So, it's a positive that we have the hopper. It's a positive that we have greater control through operatorship and we want to work within a framework where we can deliver that long-term growth. As I said in my remarks, it will be a much more measured pace than we've experienced over the last 2 years.  But the Kosmos portfolio does have longevity and therefore does have a terminal value, but we have to do that while delivering the free cash flow that shareholders want. Ultimately, the first priority for that will be debt pay down. Then once we reach leverage targets, it will be around shareholder returns. The frame that we're using going forward is that $550 million and we're confident that we can sustain the base production, which is a composite and important element both in Ghana, Gulf of Mexico and actually in Guinea in that $300 million to $350 million, which enables that $200 million to $250 million to pursue those selected growth projects. That's the frame going forward and therefore, the free cash flow targets that we've talked about. On Tortue, you asked a specific question about the FPSO. Maybe if I should sort of stand back, because it is going to be a question that's going to come up, where are you with the project? A lot has been achieved in the quarter. Prior to the quarter, we're obviously all drilling done hub terminal finished. But in the quarter, the Guinea vessel was arrived at the hub terminal, it's moored and it's now being connected. That's the connection for the gas in and then to the connection to the offloading. So that work is progressing well.  On the subsea, real progress. I think all seas put out a notice to the market that they've completed the installation of the deepwater pipelines, the 10 inches and the 16 inches. In fact, all of that work scope is now completed, which is a significant milestone. What remains in the subsea now is the installation of the jumpers, that's the Saipan work scope and that work is targeted to be finished by the end of the second quarter. On the FPSO itself, there is work being done in Tenaris, at a shipyard in Tenaris to prepare the inspect and repair the fair leads. And that's essentially the mooring device for the vessel when it's on location. Visited the hub myself about a month ago that work is going well. We've inspected the fair leads now. So we know the level of repair, relatively modest. And so the FPSO target to leave beginning of next quarter be on location, and then we start the mooring and hook-up process there. All of that will enable first gas in the third quarter, which then leads to LNG in the fourth quarter. So Matt, the critical path as you go through all that given the progress that's been made on the subsea, remains on the FPSO. The operator is obviously strongly focused on that. But I think it is now -- as you bring a large project like this to completion, each milestone you achieve is an important milestone because it derisks the forward program. I think we achieved quite a lot in the last three months and look forward to those milestones be not tough as we go forward through the year.
Operator: Our next questions come from the line of Charles Meade with Johnson Rice.
Charles Meade : Andy, I wonder if you could -- this is a question about EG. I believe I heard in your prepared comments that the upper end of your guidance assumes that you do get a rig back in there and you get some work done in '24. I wonder if you could speak to what the chances of that are? And perhaps if that's -- if you have some -- if there's any kind of special capability of the rig that you need to procure to do that work or whether it's more of a vanilla thing that has a higher probability of happening?
Andrew Inglis: Yes. I think it's a little early to give you a lot of insight on that. We're clearly just going out to the market, as we speak to look out available rigs. In terms of the spec of the rig, it's not anything out with what a fixed gen can -- 6 Gen can do today. So the only issue is it has to be sort of completion ready because we're obviously on the infill wells we're drilling and completing. You can deepwell it's purely an exploration well. So I think a little early, Charles, to say exactly how that process is going to shake out. But I think we just wanted to make sure in our guidance, we were sort of clear and have covered the spectrum. So we haven't included any contribution from the infill program in our production guidance, but we have included a potential outcome of the rig being included in our activity set in 2024. So I think that's an appropriate way to look at the situation today. And obviously, we'll update you as we make progress in the investigations with the market in terms of available rigs.
Charles Meade : And then the follow-up question, along the same line, but in Ghana at TEN, can you give us a sense of -- so you've submitted a new proposed work scope to the government. Can you give us a sense of the timeline for whether when that might be approved and then acted upon? And order of magnitude, what it might -- what it might do to production at that field or that -- those fields?
Andrew Inglis: I think the write-down on TEN was fundamentally around sort of a couple of issues. The first was the well performances of recent wells have been drilled. They haven't delivered quite what we'd hoped. And then, confidence around the future work program, which would require approval from the government in terms of the plan of development. So as of today, we haven't included any significant future work scope in TEN. And equally well, if there was a breakthrough on the PoD, that capital expenditure would have to compete for capital within the framework that we set out in our prepared comments. So I'm comfortable with where we are today. Predicting when the PoD could be approved is tough. There's clearly looking at an election year in Ghana. And I think that makes life a little tougher to be confident about when and if things might happen. But I think the most important thing from a Kosmos perspective is actually, as we've commented earlier, very rich hopper set. We've actually got a very rich set of opportunities in the base between Equatorial Guinea, Gulf of Mexico and actually Ghana in Jubilee. We actually -- the reserve replacement ratio of 104% this year was driven by the performance of Jubilee more than offsetting the downside in TEN. So there is a strong opportunity set there in Jubilee. Jubilee is a field -- a big field that's going to get bigger. And therefore, I can see us prioritizing capital there. So TEN is sort of waiting, and I'm fine with that. I think for us, it's about ensuring that we're putting our base capital to our best opportunities. And certainly, Jubilee would run very highly.
Operator: Our next questions come from the line of Bob Brackett with Bernstein Research.
Robert Brackett : Returning back to the GTA FPSO and the issue around repair of fair leads. Has that FPSO been turned over from the contractor to the operator? Is there some sort of recourse in the same way as say Tortue issues, Jubilee or even the pipeline vessel issues? Will you go back to that contractor and say you didn't deliver the FPSO on time and on scope? 
Andrew Inglis: The detailed answer to your question is it has not been turned over. So I think which ultimately answers your subsequent questions. 
Robert Brackett: And an easy follow-up, contrast the challenges around GTA with sort of the process of getting Winterfell up and online in the Gulf of Mexico and talk to your relative conviction there?
Andrew Inglis: You just walk us clearly in the different scale and you're doing something which is sort of establishing a first phase of a larger project with GTA. It is a greenfield project. It's got both got wells. It's got an upturn or it's got an LNG facility and it's got an FPSO. So yes, multiple, as it were segments of the project. Winterfell much more simple sort of tieback. It's in a basin that has the supply base and therefore access to equipment easier and its well subsidy tie back to an existing facility.  So, just an ultimate different order of magnitude. And I think it's a great question because it sort of brings you back to the fundamentals of the company. We're investing in short cycle, fast payback ILX type opportunities on the oil side that deliver a very different economic outcome and actually risk profile. But you create the longevity for the business in terms of building out a gas business. Now, we're having established Tortue Phase 1 and Phase 2 is a brownfield, it comes with a very different execution risk. So, it's hard to get started and I think we clearly struggled with Tortue to get it there. But with the end in sight, the next phase is Tortue has got a very different risk profile. So relative competence in which we'll study up, yes, it will be at the beginning of the quarter, flow back both of the wells, it will be accompanying that with the third well to follow. And actually the interesting thing about Winterfell is not just that first phase of development, its subsequent phases. I think it will be ultimately be a much larger resource pool. So it's got not only a short cycle front end to it, but it has that development opportunity to follow-up. 
Operator: Our next questions come from the line of Subash Chandra with Benchmark Company.
Subash Chandra : Can you reiterate -- I might have missed it, Tortue volumes, what if any are included in the '24 guide?
Andrew Inglis: Neal, do you want to cover that?
Neal Shah: Yes. And so yes, we've got a -- basically, we're assuming it's in line with the detailed guidance that was in the presentation, which is there's some entitlement volumes in 3Q and then close to the full rate in the 4Q, which works out to call it, 2,000 to 3,000 barrels a day of BOEs net with the forecast. So there's not in the full year average. But again, it gets close to full rate within the fourth quarter.
Subash Chandra : I was just curious, so should we -- is that OpEx included in the guide? I was just confused on the footnote versus the guide for the year?
Neal Shah: Yes. So the OpEx, so it's not included in the per barrel metric. So the per barrel is basically on the base business with the OpEx just for the [MS] portion.
Andrew Inglis: The reason we've done that is because in the -- as you go from the project to the operation, there's quite a large commissioning element to that. So that the absolute number includes that transition, the sort of the -- some of the commissioning costs and then the operating costs associated with the field as it comes online.
Subash Chandra : And finally, I guess, just apples-to-apples for CapEx last year versus the '24 guide, how much cap interest is included?
Neal Shah: It's about $25 million a quarter, Subash. So we'd sort of -- if we look at the guidance, sort of we're only assuming it happens in the first half of this year and then goes away in the second half of the year. So interest, hence the $25 million to sort of versus the full year $150 million guide.
Subash Chandra: And so last year, was that $100 million of cap interest?
Neal Shah: Exactly. It's about the same, yes, annualized.
Operator: Our next questions come from the line of Matt Cooper with Peel Hunt.
Matt Cooper : So just firstly, I wonder if you could comment on the current Jubilee production rate and other two wells brought online in 1Q performing per expectations.
Andrew Inglis: Yes, Matt, sort of step back on Jubilee, I think the key points to note are performance in the year will be dependent on two issues. The first is maintenance of the base, which is about voidage replacement. We struggled to do that, really in the third quarter of last year, but really from about sort of November time onwards, we've been injecting water at record levels, and they've been at 100% voidage replacement, probably in the prior three months of that, it was as low as 40% when the water injection was down. So I feel good about the way that the base has been performing as we enter the year and actually have sort of been through the first two months. Then you're sort of adding additional well stock. We've added one water injector and one producer. I think literally, probably today, we're adding the -- second producer will start up. So once that second producer is online, we'll be up at around sort of the 100,000 barrel a day back up above 100,000 -- we're around 100,000. So that's an important milestone for us. Then you've got two more wells to follow. So you've got an additional producer and an additional injector.  So as we look to the year and the performance in the year, I think the wells have delivered. We're actually -- when you look at the overall program, the operators would probably deliver the wells six months ahead of time, which is why we're going to take the break and slightly earlier than we'd anticipated to allow us to rebuild that well still. But the fundamental thing to sort of we're focusing on is the water injection and therefore the voidage replacement that sustains the pace.
Matt Cooper : And just to confirm. So those first two wells, I think you said they went in early 1Q. The injection and the production that you're seeing from those is in line with expectations at the moment?
Andrew Inglis: Yes, it's in line with expectations. And you can -- yes, they're in line with expectations. The base is probably a little bit better than we saw but fundamentally in line with expectations. So then with the second well, second produce starting up now. The objective was to be above that 100,000 barrels a day and that's what we anticipate to be. So yes, it's -- the start of the year has been solid, yes. And the key thing, and I keep bashing on about it, but getting the base properly supported is the key thing that we need to focus on.
Matt Cooper : Just finally, I just wanted to ask on EG. I wondered how much strip in the infill drilling out reduced 2024 production? Just kind of thinking about how much upside there could be there if you do procure a rig this year? And then kind of the flip side, about how much risk is there that the new rig will be at a higher cost?
Andrew Inglis: Yes. So basically, Neal will come back to the production numbers. Yes, the other contract was probably done at a more advantageous time in the market. So yes, I think we'll probably see a slightly higher rig rate. But again, with all -- I know it tends to be a headline number you look at but you've got to remember that it's a relative, probably 1/3 of the cost of the overall spread rate. So even small, an increment there gets diluted on that basis. And then you've got to figure out how you deliver low NPT. So ultimately, the well costs -- the absolute well costs then go up. So yes, we will see a slightly higher rig cost but it's not something that is ultimately going to interfere with the capital guidance or with the economics of the wells.
Neal Shah: then just on the production, yes, the guide we have for EG is around 8,000 barrels a day net for the year, if we sort of drill as planned, we were closer to sort of 11,000. So it's about a 3 million barrel a day impact we can get. Again, I think some of that -- there is some upside if we do end up drilling this year, but that's not included in the base guidance.
Operator: Our next questions come from the line of Mark Wilson with Jefferies.
Mark Wilson : Very clear on the catalyst for this year and the CapEx once you get through Tortue. First of all, just given an idea of the physical work within that $550 million a year and the maintenance split, are you expecting to be -- that we would have for instance an ILX well in the Gulf of Mexico from each year from 2025, given the success you've seen with Winterfell and Tiberius as one part of that CapEx? And also, are you assuming a return of a rig to Jubilee in 2025 and onwards? That's the first question.
Andrew Inglis: So if you sort of conceptualize it yes, if you look at the base and the maintenance of the base, we're looking at three quarters of a rig year in Jubilee. Now clearly, as it were that being sort of rollover. So yes, the rig would return in '25, would maybe drilling '26, and then a break and so on, yes. If you sort of figure it out that there's probably three quarters of a rig year that makes sense, whereas actually this year, we'll have sort of half of a rig year in Ghana. So yes, it does include that. It includes a similar sort of drilling program in Equatorial Guinea going forward, sort of, yes.
Neal Shah: Yes, but once every 18 months.
Andrew Inglis: About once every 18 months and maybe a package of sort of three wells. Those are the primary base pieces. Then in the Gulf of Mexico, yes, probably at a sort of 30% working interest sort of one ILX well per year. We sort of run the $20 million or $30 million. That would be in the growth pre sell.
Neal Shah: That would be in that $200 million to $250 million of growth versus the $300 million to $350 million in maintenance, which really cover the Jubilee EG and occasionally some GoM maintenance drilling.
Mark Wilson : And then over to Tortue. I just want to confirm all the physical things for the startup have been discussed. Are there any commercial arrangements to be finalized before those first LNG? And maybe tie into that what are the outcomes or any kind of impact from that? You said that the contractual discussion should -- or debate should be resolved in the middle of the year? Does that -- what should we look at around that?
Andrew Inglis: Yes. So cargo divisions, the timing of the arbitration is around mid-year, decision will be around midyear. The arbitration itself will be held in the second quarter. And typically, you get a ruling sort of a couple of months afterwards, so probably around mid-year. And I think in terms of -- so the -- ultimately, the contractual arrangements aren't going to slow down the completion of the project, actually executing the physical work is the thing that is driving the timeline.
Mark Wilson : And there was a question on the call, someone asked about Phase 2 potentially coming back into view. Is that -- is there any update worth giving on Tortue Phase 2 versus the other projects in Senegal or a longer-term timeline?
Andrew Inglis: As we've said in the past, Phase 1 is about building out the infrastructure. I think what I would say is there's a real push from the NOCs to find the right next concept for Phase 2 that fully utilizes the infrastructure that's been laid in and that is a new conversation that's occurring now with the NOCs. So partly, on back of the work we're doing on the Yakaar Teranga, both SMH and PETROSEN are interested in seeing how we can accelerate the timeline for Phase 2, it's clearly in the country's interest and actually is the interest of the partnership ahead of the day the BP had previously guided. So that's the conversation that's going on there, Mark.
Operator: Thank you. Since there are no further questions at this time, I want to bring the call to a close. Thanks to everyone joining today. You may disconnect your lines at this time and thank you for your participation.